Operator: Greetings, and welcome to the Golden Star Resources Q1 2013 Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. Please note, this call contains forward-looking information. Please refer to the company's statements regarding forward-looking information in the company's Form 10-K, filed March 4, 2013. The call will begin now. It is now my pleasure to introduce Belinda Labatte, Investor Relations representative for Golden Star Resources. Thank you, Ms. Labatte, you may begin.
Belinda Labatte: Thank you, operator. Good morning, everyone, and thank you for joining us to discuss Golden Star Resources' first quarter 2013 financial results and an operational update. Yesterday, we filed our financial statements and these are available on the company's website at www.gsr.com. On the call today is Sam Coetzer, President and CEO; Jeff Swinoga, Executive Vice President and Chief Financial Officer; Daniel Owiredu, Executive Vice President, Operations; Bruce Higson-Smith, Senior Vice President, Corporate Strategy; and Dr. Martin Raffield, Senior Vice President, Technical Services. Sam and Jeff will discuss the financial results for the first quarter 2013 and provide an update on operations. For those of you using the webcast presentation, I draw your attention to our forward-looking statements and our legal disclaimer on the webcast presentation. Sam?
Samuel T. Coetzer: Good morning, all, and thank you for joining us today. I'm pleased to discuss the financial highlights for our quarter ended March 2013, along with an update on operations, explorations and planning for 2013. I'll then hand the call to our CFO, Jeff Swinoga, for details on changes in our financial condition. Our first quarter was defined by predetermined activities, which front-loaded the fiscal year with high expenditures. Today, in the review, you will see how that unfolded. With the current gold price environment, we are now facing a different set of circumstances from the beginning of the first quarter. And we are being responsive to these changes and how they impact both our short-term planning and long-term strategy. We, like other gold producers, have concerns on the current weakness of the spot price for gold, which cannot sustain investment in the sector and can lead to mine closures. These are concerns we have not only for Golden Star, our shareholders and our employees, but also for the sector and its suppliers. So with moderated expectation on the gold price, we are adjusting all our plans for 2013 and remain committed to our strategy of reducing operating costs within Golden Star, which is now even more pertinent and necessary. I previously stated on becoming CEO that my focus was to install a thoughtful and disciplined planning process into the operations. And today, I recognize the importance of providing a plan that allows for the evaluation of gold price scenarios in the range of $1,200 to $1,600 per ounce versus what our 2013, 2014 plans was assuming, a $1,600 gold price. The regional 2013 capital plan required most of the capital to be spent at Bogoso, which as I've stated before, will be funded through the Wassa operations. The investments included into the Pampe pit, the Chujah and Bogoso North pushbacks, and the upside block. In response to the recent substantial decline in gold prices, we are now re-optimizing our pits, reviewing all our operating mine plans, reviewing the capital spending plans and evaluating the viability of Bogoso and Prestea. Based on this preliminary review and due to the technical issues affecting the Bogoso's Pampe pit, the company has suspended the Bogoso and Prestea non-refractory operations due to insufficient supply of ore from the Pampe pit. This has been caused by geotechnical issues resulting in more failure. Therefore, the mining of the Pampe pit under current market conditions is considered not viable. This suspension will result in a reduction of approximately 35,000 gold ounces of production in 2013. As a result, the company's 2013 gold production estimate is now under review, and the company plans to issue the revised production and cost guidance and capital spending estimates for 2013 based on this decision and the results of the company's review efforts. In reporting our first quarter results today, there are, as I expected and as anticipated, for us, $1,600 gold price environment. The high expenditures, for example, anticipated pushbacks, contractors to assist us in fast-tracking a certain project, increased drilling at Wassa, moving the Dumasi expenditure forward and relocating our head office, should be looked at in the context of our longer-term strategy to move our operations to high-grade ore and lower-cost operations. In the first quarter, we produced to 81,000 ounces of gold in total, a 4.7% increase with a 30,495 ounces from Bogoso operations and 45,000 -- just under 46,000 ounces from the Wassa operations. Unfortunately, the SAG mill maintenance extension at Bogoso deferred production into the second quarter, resulting in a lower Q1 production. Revenues were up slightly at 1% from the last quarter to $133 million generated the past quarter. Cash operating cost balance has remained relatively stable on a consolidated basis from $1,118 to $1,124 per ounce this quarter, which was driven really by excellent performance from our Wassa operation. Operating cash flows before working capital changes decreased from $21 million to about $4.5 million year-over-year. This was largely the result of an increase in operating cost at Bogoso and Prestea, and the tax payment related to the Wassa/HBB operations. I will now turn to operations. In this quarter, on a revenue basis, Wassa performed above expectations, while a reduction in revenues at Bogoso was directly related to the SAG mill maintenance extension. Revenues increased by 22% at Wassa to $75 million and decreased 17% to $38 million at Bogoso. The results at Wassa were favorably impacted by high-grade ore due to the processing of a higher percentage of the Father Brown ore. At Bogoso, the primary reason for the reduction in ounces sold is a result of the SAG mill maintenance extension that we experienced in the first quarter. If you remember, that resulted in a temporary outage in the refractory plant. In terms of the Wassa drilling, we are extremely excited with the results that are coming in from the continuous drilling we have done over the last 6 months into the deeper part of the orebody at Wassa. In the first quarter of 2013, we drilled 89 holes, covering 32,800 meters with 6 drills. As you can see on the webcast presentation, we are witnessing the emerging of a wide thickness at the bottom of the pit, which suggests a thicker and higher grade orebody. We are very encouraged with these results. An update on drill results was press released on April 30, 2013, and the significant grades and width are similar to the drilling results from Wassa over the last 18 months. Highlights of the drill campaign include: 32.6 meters grading 7.5 grams a tonne from hole 226, 11.2 meters grading at 20 grams a tonne on hole 233, 29 meters grading at 7.5 grams a tonne, and it included a 7.3 meters grading at 27 grams a tonne. On hole 246, 19 meters grading at 10 grams a tonne, and on hole 068, 31.7 meters grading at 7.3 grams a tonne. In order to reduce expenditures overall and based on the recent drill results, I'm comfortable that we can now scale back drilling at Wassa. To outtake on the expectations for 2013, we have continued the commencement of a pre-feasibility study for the potential expansion scenario, updating our resource estimates for the end of Q3. The Wassa drilling program capital budget was approximately $13 million for 2013, and today, we spent $6 million on the drilling campaign. And with our scale-back drilling, we are now reviewing our total Wassa budget as well. We plan to commence reserve estimates on the new Wassa pit in the fourth quarter. At Prestea Underground, the feasibility study is now nearing completion with a wonderful target to develop gold at West Reef. We are also working with the community to find a suitable position for a new shaft to go into the heart of West Reef. We advance drilling with a focus on the West Reef section and are testing insert material from the 17 level and the 24 level. Recently, the Prestea Underground mine was opened with the support of the President of Ghana, the paramount chief, the local chiefs and the full community for the project. Upon completion of the feasibility study, we will define mining activities and are currently reviewing the $26 million revealed mark for development in 2013. Now, our progress on important long-term projects. At Dumasi, as press released earlier, work on down site has begun. During the quarter, we spent $2.5 million on this project. At Mampon, the main activities were to do metallurgical testing on all characteristics, and we also made progress on permitting. At Prestea South, once we receive the environmental permit, we plan to be in development. Approximately, $1 million was spent on this project in this quarter. I would now turn the call over to Jeff Swinoga, our CFO, to discuss in more detail our financial performance and our capital spend.
Jeffrey A. Swinoga: Thank you, Sam. And I want to say good morning to all of our analysts and investors on the call today. What I'll do now, as Sam mentioned, I will review the major items and changes in our revenue, cost, net income, cash flow, capital expenditures and financial condition. Our first quarter revenue increased to $133 million from $131 million for the same quarter last year. Wassa contributed approximately 56% of total revenues during the first quarter of 2013, while Bogoso was responsible for the remaining 44%. Looking at our revenue, our mines sold just over 81,000 ounces of gold in the first quarter of 2013, up from 77,725 ounces last year. However, the average realized price fell to $1,634 per ounce from $1,686 per ounce last year. So the increase in ounces more than offset the drop in gold prices this quarter. And this resulted in the $2 million increase in our gold revenues of $133 million from the same quarter last year. Consolidated cash operating cost per ounce totaled $1,124, up marginally from the $1,118 per ounce for the first quarter last year. This was primarily due to Bogoso where we experienced a 25% increase in cash operating cost per ounce to $1,531, as compared to $1,222 last year. This increase was from higher contracting cost, the commissioning of the water treatment plant and plant maintenance cost increasing as a direct result of the work completed on the SAG mill and replacement of agitators and gearboxes. In addition, due to the work on the SAG mill, as Sam mentioned, approximately 4,000 ounces of production was deferred, as previously announced. At Wassa, cash operating cost per ounce during the first quarter of 2013 was $809 per ounce, which is lower than [indiscernible] and 2012 first quarter of just under $1,999 per ounce, this representing a decrease of 19%. The increase in the amount of gold produced was the primary reason for the decrease in cash cost per ounce at Wassa. As mentioned during our call, I'd like to reiterate that the reduction of cash operating cost is a key area of focus for the company. In light of the current lower gold prices, we have initiated a number of spending reduction measures such as deferring our capital spending, reducing the use of contractors, reducing our inventory levels and staff optimization strategies. Now, looking at other branches. Due to the higher level of gold production at Wassa during this quarter, mining-related depreciation totaled $20 million, an increase from $19 million from last year. As compared to the same period last year, exploration expenses were approximately $800,000 lower. General and admin expenses were slightly higher than Q1 2012, and this reflects the relocation cost of moving our corporate head office on Denver to Toronto. We recognized a non-realized gain of $7.6 million on our 5% convertible debentures this quarter as well. And since we have less debt outstanding versus last year, our interest expense dropped from $2.8 million to $1.3 million. In the first quarter of 2013, Golden Star experienced a net loss of $8.2 million compared to $9.1 million net gain generated in the same quarter last year. For the quarter, the company had an attributable net loss of $6.6 million or $0.03 per share as compared to a net gain of $9.1 million or $0.04 per share in the first quarter of last year. Now turning to our cash flows. Before changes in working capital, our operation provided $4.5 million towards operating cash flow, down from $21 million during the first quarter last year. The decrease was related primarily to increases in mine operating cost at Bogoso and an $8.3 million payment to the government of Ghana for taxes related to 2012. Working capital changes during the quarter -- this quarter used a net of $2.3 million as compared to $3 million in the same period last year. In summary, net cash provided by operating activities was $2.2 million in the first quarter this year as compared to $18 million in 2012. In regards to capital allocated towards investing activities, $18.3 million was used in the first quarter of 2013 as compared to $22.7 million in the same period last year. $14.1 million was spent on mining property development drilling and mine development projects, while $3.6 million went toward the acquisition of new equipment and facility at the mine sites. At Bogoso, the majority of capital was allocated towards the Dumasi resettlement project, resulting in $2.5 million being spent. Development expenditures at Mampon and Prestea South totaled $1.3 million. $1.4 million was due to complete the construction of the water treatment plant, and another $600,000 was used for mining equipment. At Wassa, major capital projects consisted of development drilling of $6 million, of which the majority was spent at the Wassa open pit. $1.8 million was development cost at Father Brown and $1.2 million was related to plant upgrades at Wassa. Now with regards to financing activities, the primary use of funds was for the scheduled debt repayment of $1.9 million on the equipment financing facility. In summary, operating cash flow before working capital changes provided $4.5 million of cash for this quarter, of which $2.3 million was used for working capital, $18.3 million was for capital investing purposes and $1.7 million for investing activities, resulting in a cash balance of $61 million as of March 31, 2013. As Sam mentioned, in response to the substantial decline in gold prices, we are reevaluating our spending plans for our 2013, and we expect to defer spending on development projects until gold prices improve on the current level. During 2013, we expect to fund projects and operations through operating cash flow, equipment financing facility, cash on hand as of March 31 and additional funding arrangements. If these cash sources are not sufficient, certain capital projects could be delayed or operations curtailed. I'll now turn the call back to Sam for concluding remarks.
Samuel T. Coetzer: Thanks, Jim. Okay, where are we now, looking forward, for the remainder of the year? We are in midst of re-optimizing our pit plans. We're reviewing our operating and mine plans. We are reviewing all capital spending plans and the viability of Bogoso/Prestea. We have suspended the Bogoso/Prestea non-refractory operations due to insufficient supply of ore from the Pampe pit. We are completing the Prestea Underground feasibility study. We have continuation of activities at the Prestea Underground mine. We continue exploration drilling at Wassa Mine lease to follow up on the 2012 drilling results, and we will give an update of those results by the third quarter. And we're adding additional capacity to the current daily storage facility at Wassa and commencing the construction of a new tailings storage facility later this year. Obtain permitting of the Dumasi pit, approval of the Dumasi resettlement action plan, and commencement of construction of the Dumasi resettlement town site. Permitting and continued planning of the Mampon pit and associated infrastructure. Obtain permitting and continue planning of the Prestea South pits and associated infrastructure. And achieve further reductions in operating cost throughout the organization. I will now turn the call over to the operator for our question-and-answer session.
Operator: [Operator Instructions] Our first question comes from Paolo Lostritto with National Bank.
Paolo Lostritto - National Bank Financial, Inc., Research Division: Can you remind us what the required CapEx at Wassa is with regards to the tailings? And -- because I think I have you guys spending around $10 million -- $10 million to $15 million over the course of the remainder of 2013 at Wassa.
Samuel T. Coetzer: Paolo, that number is very similar, but what we've been able to achieve is to get a permit to do a lift on the current pit, so that expenditure would be towards the end of the year. But that remains very similar in terms of the total expenditure. So what we're doing there now, Paolo, is we have the ability to lift our current tailings facility and then commence the building of the TSF II going forward.
Paolo Lostritto - National Bank Financial, Inc., Research Division: Okay. And that's not until kind of late...
Samuel T. Coetzer: So what we'll do is once I just have all the plans, as I said, we're re-optimizing everything in our spending plans. So towards -- we will update our capital expenditure plan as well very soon.
Paolo Lostritto - National Bank Financial, Inc., Research Division: In the third quarter. I'm just trying to -- as a first guess, The Street's going to try to do some work here to try to assess what the best guess is at this point in time. So I'm just trying to garner as much data as I can in light of that. Okay. So then the other thing is this, with the work that you're doing at -- and in terms of permitting some of these oxide pits over at Bogoso, can you give us a sense of timing at this point in time or is it too soon to say when you'll have some sense of permitting timeline?
Samuel T. Coetzer: The process we're following is reaching agreements with the communities, which is always a step forward, and that has been done at both Prestea South and also at Dumasi. The next step that we will be then is we are in the process already of putting in our AIS in certain of these projects. And my estimation is that it is a bit early to give you the date until we finalize in terms of what the mine plan will be associated with as we move forward on these as well.
Paolo Lostritto - National Bank Financial, Inc., Research Division: And so we shall wait for the update then.
Samuel T. Coetzer: Yes, yes.
Operator: Our next question comes from Andrew Breichmanas with BMO Capital Markets.
Andrew Breichmanas - BMO Capital Markets Canada: I was just wondering if you could provide a little bit more detail on the Pampe pit well failure. When did it occur, and can you just provide a little bit more detail on the assessment and what happened there?
Samuel T. Coetzer: Yes, Andrew, it's just one of those things that just happen. I think it was last Friday when we had the slip. There was a crack forming earlier last week. And then the management decided to pull the team out, and we got the inspector and everybody in to review the situation. And then the slip occurred. Lucky for us, it was spotted and nobody was injured. But it was necessary for me to take the contractor out of there. And then reviewing now where we are at the $1,450 gold to pick up that cost now in terms of removing that slip at this point in time at $1,450 an ounce. It just doesn't make sense to look for the corporation to do it now, so we're reviewing our options going forward. But I will not -- it's not a good time to have that associated cost because it will be -- it's not viable to do that work now and then move forward.
Andrew Breichmanas - BMO Capital Markets Canada: Okay. So of the, I guess, $141 million capital budget, about $51 million had initially sort of been allocated to the non-refractory plant. And I guess a lot of that's not dependent on permitting, but how much of that do you expect to spend this year?
Samuel T. Coetzer: Well, and that's what we are reviewing now. We are taking a holistic view here, Andrew. We're looking at everything. We're looking at what we can do with Wassa. As you see, Wassa has some spectacular results. So we're looking at re-optimizing that pit as well. We're looking at re-optimizing our Chujah and Bogoso and what we can do with those pushbacks. We're looking at reducing the contractor support we had in there. We're looking at other cost reduction initiatives. And then most of all, we're reviewing in terms of our longer-term strategy of what we want to achieve in moving the company into Dumasi, moving it into Prestea Underground in the longer term, what that CapEx profile would be with that and going to the minimum without jeopardizing the strategy that we've embarked on. However, I mean, I must say to you that we are looking to minimize that spending but keep that option open. When you operate at this point in time with expectations in terms of a permit with the community and with the government, you don't want to create the impression that you are not interested in that at all. So we are reviewing what is the sensible approach to move these projects forward. So the spending we're looking at, I can tell you, would be, number one, what are we sensibly should spend at Dumasi, Mampon, Prestea and also the Prestea Underground after we've reviewed the feasibility that we will sitting out. So everything is on the table. But most of all, it's looking at even increasing our ability of achieving even more better results from our Wassa operations going forward under these conditions.
Andrew Breichmanas - BMO Capital Markets Canada: Okay. Then one last thing. On the assessment of the refractory plant at Bogoso/Prestea, without the non-refractory plant, is a result similar to last year's performance achievable, or maybe even improvements, and at that kind of level, is the operation viable?
Samuel T. Coetzer: That's a good question, Andrew. That's exactly what we're asking ourself. Firstly, I think in terms of the physicals, you're right, in the same range as what it has done before. What we need [indiscernible] obviously is determined by a few things, and firstly is can we reduce our cost. And our cost was obviously set up under $1,600 an ounce, and we geared ourselves with people and resources and payables for moving those to press forward. What we're now looking at is how do we -- how can we reduce our cost in the $1,450 scenario and how Bogoso would look at the end of that. So it's a reduction of operating cost to do jobs only associated with basically Bogo North and Chujah pit. As you know, and I've said it in the beginning, we front-loaded, we wanted to get the pushback of Chujah, which is now at a high strip. We want to move -- in the first 3 quarters, we wanted to move that down so the strip would -- dramatically reduces. We now would look at the speed of doing that versus and in spite of ore. So -- and that comes to a question of viability. What is -- the essence of it all is that we do have the flexibility in terms of adjusting, for the short term, our plans. But the big question is what expenditures can we cut out to enable Bogoso to contribute at a reasonable cost moving forward. And we're in the process of reviewing that, and I hope to update you now within the next 4 to 6 weeks, what our plan exactly is and how that will entail. But it will be a totality look. It will not be only Bogoso, it will be looking at Wassa, looking at Father Brown, looking at how we do with Chujah, how we do with Bogo. We've stopped at Pampe. We will look at expenditures at Dumasi/Prestea Underground and also at Mampon. We're looking at the drilling, what is really required, have we got enough information to move our exceptional results we see at the Wassa pit forward. But I don't want to take away that there's still a strategy that exists in this company through Dumasi, through Mampon and through Prestea Underground. But we have to do it then. We will be doing it as fast as we can, and we are diligent of that.
Operator: Our next question comes from Robert Reynolds with Credit Suisse.
Robert Reynolds: Just a follow-up on Andrew's question. Can you give us an idea of when you might be, I guess, coming out with some of these -- or the results of your re-optimizations? Or will we just sort of be hearing about them as you report your quarterly results?
Samuel T. Coetzer: No, I would like to do it all in one and not in piece. And we have a timeline of about 4 to 6 weeks. Hopefully, the 4 and not the 6. And so, as I've said, we're re-optimizing the Wassa pit. What's good about that is that with the latest reserve, we believe that we can look at a pit shell that comfortably fits the current gold scenarios, and look at the cash flows that, that will mean. And in conjunction with that, at Bogoso, really, what we have, and I'm going to be -- you guys need to understand that what we have is to -- is not really optimize the short-term pit, but is looking at the expenditure and the rate of expenditure compared to what we are producing. But at the end of the day, the consolidated business and the ability and the flexibility to look at itself and see how we can get back to generate the cash that we want to move forward. You would have seen from these results the kind of cash that Wassa spends off. We anticipated at $1,600 gold that, that cash would've funded most of the first 3 quarters of this business. Now the gold price is lower. That picture changes, that funding from Wassa will not be the same. So it's a total picture, and I hope to update within 4 to 6 weeks what we intend to do.
Robert Reynolds: Okay. And then just at Wassa/HBB, would you be able to provide the, I guess, relative split? Or how much ore and at what grade was contributed from the Father Brown pit in the quarter?
Samuel T. Coetzer: Sure. The 60% is, say, from Father Brown, in that range. Yes, the grade ores in -- result of 5 -- I'm sorry, but I can't remember. Roughly, I think it was under 5 grams at Father Brown. And I think it was just over 1 gram a tonne from the Wassa. And the split in ounces would have been 60%. We have done 60% to 40%. But what we're looking at now is that if we re-optimize what we have in the Wassa pit to see we can get a better grade structure coming from that. And that work is now currently in progress.
Robert Reynolds: Okay. So, I guess, should we expect a similar split in terms of ore contribution for the remainder of 2013?
Samuel T. Coetzer: From Wassa?
Robert Reynolds: Yes. In terms of 60% from Father Brown and 40% from Wassa Main.
Samuel T. Coetzer: Yes, I figure that ballpark will be fine to work on. We -- our Wassa operation is -- 2 years ago, we spent the money on upgrading the plants so we can take the operation on harder rock that we're experiencing from Father Brown and also from the big Wassa pit. And we're now comfortable that we would be able to do that and continue with the results that we're seeing from Wassa. I can add that even up to last week, we were running according to our plans on both sites in terms of production. But we need to look at the cost and the expenditures of what we achieve. So yes, that's probably fair to make that assumption.
Operator: Mr. Coetzer, there are no further questions at this time. I would like to turn the floor back over to you for closing comments.
Samuel T. Coetzer: So thank you, everybody, for listening. And I would like to indicate to you that I have the team surrounding me, our heads are up and we are taking on this challenge. I do believe in the gold market in the future. I do believe that this company has options to move forward, and at this time, it's how we get through this. And with the team I have around me, I think we can operate with the cost that's being dealt to that. And we will update you moving forward. So thank you, operator. Thank you, everybody, for joining us on this call.